Operator: Ladies and gentlemen, thank you for standing by and welcome to the Superior Plus 2019 Third Quarter Results Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session [Operator Instructions] I will now like to hand the conference over to your speaker today, Mr. Rob Dorran, Vice President of Investor Relations and Treasurer. Please go ahead, sir.
Rob Dorran: Thank you, Beth. Good morning everyone and welcome to the Superior Plus's conference call and webcast to review our 2019 third quarter results. Joining me today is Luc Desjardins, President and CEO; and Beth Summers, Executive VP and CFO, and Darren Hribar, Senior VP and Chief Legal Officer. Today's call is being webcast and we encourage listeners to follow along with the supporting presentation which is also available on our website. For this morning's call, Luc and Beth will begin with their prepared remarks and then we will open up the line for questions. Before I turn the call to Luc, I'd like to remind you that some of the comments made today may be forward-looking in nature and are based on Superior's current expectations, estimates, judgments, projections and risks. Further, some of the information provided refers to non-GAAP measures. Please refer to the second quarter MD&A posted on SEDAR and our website today for further details on forward-looking information and non-GAAP measures. I would encourage listeners to review the MD&A as it includes more detail on the financial information for the third quarter, as we won't be going over each financial metric on today's call; this will allow us to move more quickly into the question-and-answer period. I'll now turn the call over to Luc.
Luc Desjardins: Thanks, Rob, and good morning everyone. Thanks for joining us this morning for the call. We had a great third quarter with strong results compared to the prior year quarter. Canadian and U.S. propane distribution businesses have improved results compared to last year, primarily due to improve wholesale propane market fundamentals, effective price management in a lower price environment, we have high synergy from NGL and contribution from our tuck-in completed quarter four, 2018 and quarter two, 2019. Specialty chemical EBITDA from operation was higher due to impact of IFRS16 and improve sodium chlorate results, offset in part of our modest decrease in chlor-alkali results, generally were less effective by the broader North America chlor-alkali industry trends than some North America chlor-alkali producer due to our regional footprint as well as a more diversified product mix. Following the end of the quarter we closed our second retail propane acquisition in North Carolina and in New Brunswick. So far 2019, we made four retail propane distribution acquisitions for a total of $53 million. We continue to see a large number of acquisition opportunities ranging in size in Eastern U.S. not in California. So, we have a good pipeline of growth through acquisition as well as organic growth. In the third quarter, we also made excellent progress or 2019 realized synergy goal with related NGL acquisition. We achieved run rate synergy of $20 million as of the third quarter, and we expect to enter 2020 with $24 million run rate synergy improvement on the business we've acquired. Our U.S. propane teams have done an excellent incredible job on the integration of NGL which allows us to achieve our 2019 goal old for boundaries. At Superior, we're committed to improving our operation and reducing costs. We've made progress on the digital rollout strategy and stalling close to 30,000 tank sensors in Canada and U.S. in 2019 where the early stage of our rollout in the U.S. and in Canada, we expect to have the tank sensor all over 50% of our delivery retail volume this heating season. That tank sensor as well as our integrated customer portals mySUPERIOR and mySUPERIOR PRO provide us with the tools to improve our skill rates and deliver efficiency to best-in-class standards and give our customers real data on their tank level users and expected delivery date. Our specialty chemical business, our results continue to operate its plant on above average plant utilization rate for the industry. The North American caustic soda, hydrochloric acid markets are weaker than 2018 due to reduced export demand the decreased in the oil and gas drilling demand Canada and U.S. where however, we're well positioned to benefit from higher price, when the supply demand balance for chlor-alkali product heightened. Thank you we are now towards considering a sale of our specialty chemical business. The process is still ongoing and we're unable to provide much of an update at this time given there is an active and confidential process. We anticipate to having something to announce on the process before the U.S. As always, we are focused on ensuring we do what is the interest of our shareholders and puts Superior in the position to execute our long-term strategies. Now, I'll turn the call over to Beth to discuss the financial results.
Beth Summers: Thanks Luc, and good morning, everyone. The third quarter results were $22.3 million higher than the prior year quarter and on an adjusted EBITDA basis, and to $12.7 million higher pre-IFRS. Our U.S. Propane business is more seasonal in nature than our Canadian business due to the higher concentration of residential heating hot season so typically has negative EBITDA in the third quarter. We had strong result financially with adjusted EBITDA $14.2 million, which was 86% higher than the prior year quarter, primarily due to increased EBITDA from operations in all the Superior businesses. The adoption of IFRS 16 had a $9.6 million impact on our third quarter results, as expenses related to operating expenses are now reclassified as a reduction in long term liability. Excluding the impact of IFRS 16 adjusted EBITDA increased 49% compared to the prior quarter. Adjusted EBITDA for the nine month year-to-date was $347.8 million, including the impact of IFRS 26 and $320 million pre-IFRS 16 compared to $221.3 million in 2018. So the debt and leverage perspective senior debt credit facility Eva as at September 30 2019. From a debt and leverage perspective, senior debt to credit facility EBITDA as of September 30 2019 was 3.7 times which is consistent with June 30, 2019 and 0.5 times lower than leverage as of September 31 2018. Due to the seasonal nature of our business leverage ratios are typically lowest in the second and third quarter increase during the fourth quarter related to higher working capital requirements. Turning now for the individual business results, today propane distribution EBITDA from operations for the third quarter when $20.9 million or $13.2 million increase primarily due to higher gross profits, realized synergies from the Canwest acquisition and the impact of IFRS 16. This is part of offset by lower oilfield volume. So the profits increase compared to the prior year quarter, primarily due to the wholesale propane market fundamental contribution from UPE and sales and marketing initiatives partially offset by lower other services gross profit. Wholesale propane market fundamentals benefit from the differential between the pricing economy value compared to Edmonton and Sarnia. Average unit margins were $0.184 per liter, compared to $0.166 per liter in the prior year quarter, primarily due to improve wholesale propane market fundamentals Emergent management initiatives. Other services gross profit and oilfield volumes were lower due to reduce drilling and economic activity in Western Canada. Operating expenses were lower than the prior year due to realize energy for CanWest and reduction in labor and delivery costs related to the decline in volume. Partially offset by increased expenses from UPE. Canadian propane distribution EBITDA from operation for 2019 is anticipated to be higher than 2018 based on year-to-date and the impact total propane market fundamentals contribution from UPE and incremental synergies from CanWest. This is partially offset by decrease in retail volumes related to weakness from Western Canada in oilfield and commercial activity. U.S. propane distribution EBITDA from operations for the third quarter with negative 7 million, which was a 4 million improvement from 2018, primarily due to higher average unit margin and contributions from the NGL acquisition and tuck-in acquisition. Partially offset by higher operating expenses. The NGL acquisition goes on July 10, 2018 to third quarter 2019 has 10 more days of contribution from NGL resulting in increased volume gross profit and expenses. The average unit margins were $0.319 per liter, compared to $0.243 per liter in the prior quarter, primarily due to lower wholesale propane prices, effective management of pricing in a low commodity price environment and sales and marketing initiatives related to integration of acquisitions. Other services gross profit was consistent with the prior year. Operating expenses were higher due to NGL and tuck-in partially offset by realized synergies from NGL. U.S. protein distribution EBITDA from operations for 2019 is anticipated to be higher than 2018 paid by year-to-date results and impact from a full year contribution from NGL and tuck-in acquisition incremental synergies from NGL higher average unit margins related to wholesale propane market fundamentals as well as the impact of adopting IFRS 16. Turning now to Specialty Chemicals, EBITDA from operations for the third quarter with 39.7 million and increase the 4.2 million compared to the prior quarter should be primarily by the impact of IFRS 16 and higher sodium chloride gross profit, partially offset by lower chlor-alkali gross profit. Specialty Chemicals 2019 and up from operations is anticipated to higher than 2018 as our year-to-date, based on year-to-date results and the impact is adopted IFRS 16 at increased sodium chlorate selling price and sales volume, partial offset by lower or lower chlor-alkali results. In the fourth quarter, we expect consistent to modestly weaker caustic soda market fundamentals and weaker hydrochloric acid market fundamentals related to reduce oil and gas demand Last U.S. in 2019 where there is stage of our rollout in the U.S. and in Canada we expect to have the tank sensor all over 50% of our delivery retail volume this heating season. That adjusted EBITDA leverage guidance. Corporate costs were modest higher than the prior year quarter. Realized losses on foreign exchange hedging contract were $1.2 million lower due to increase in the average foreign exchange headwind in the third quarter of 2019. Interest expense was $26.5 million, $4.5 million higher than the prior year quarter due to increased average debt and effective interest rate as well as the impact from IFRS 16. Debt retired due primarily to the tuck-in acquisition completed in Q4, 2018 and Q2, 2019. Current cash income taxes were modestly higher than the prior year quarter. We are confirming our 2019 adjusted EBITDA guidance range of $409 million to $503 million which implies a midpoint of $510 million. The low end of the range accounts for warmer than normal weather, reduced economic activity in Western Canada and further regions in North America caustic soda and hydrochloric acid market. The high end of the range accounts for colder than normal weather, consistent wholesale propane market fundamentals, increased drilling activity in the Western Canada and improved North American caustic soda and hydrochloric acid market. We are also confirming our senior debt to credit facility EBITDA leverage range for December 31, 2019 of 3.6 times to 4 times. Due to the seasonality of our business, leverage typically goes up related to the buildup of working capital in both Q4 and Q1. Leverage could also trend at a higher end of the range at wholesale propane prices increased significantly and we complete more tuck-in acquisitions before the year-end. With that, I like to turn the call over to Q&A.
Operator: [Operator Instructions] Our first question comes from Jacob Bout with CIBC. Your line is now open.
Jacob Bout: So, you're now saying that end of the year for the ERCO sale update. And I know you can't say much, but can you comment on the interest level on the sales that better worse than expected and our multiples anywhere close to what you’re looking for?
Luc Desjardins: Yes, cannot talk about the multiple, but the process was very large, which run by our New York bank because we wanted to -- we know that there is a limited chemical industry greater than Canada. So one of the real full progress with people have interested on a world basis and it takes time we have lot of plants to visit, we have management presentation, we have questions and details so no key products. So, there is no solid advice to do a deal or do it faster, quicker, but sometimes it takes longer. And we're at the good point though where there has been some headwind and pressure. I think we've been disciplined that we'll get to this situation, we feel more comfortable that it's more short term now. So, we say next quarter the quarter already started where we're getting to that position now where we expect something shortly. As I said that in the past, if there is a which -- we never deal -- and we've been involved in the banking world, the deals. They always look good until the end, it could be good or it could be more difficult. And for the moment, everything is good, marching on. And we hope that can announce something in the near future.
Jacob Bout: My second question is on the sustainability of the strong margins that you saw in the quarter, maybe looking at both propane and chemicals. I'm assuming chemicals' just a better mix and then I know you commented on the Canadian propane wholesale side, but if you can talk to the sustainability?
Luc Desjardins: I'll start and Beth can add some further detail. So, on the U.S. side, very sustainable, very solid, we've bought a company that from an intelligence pricing, from segmentation, from marketing approach, we bring a much better sophisticated approach that gives us better margin, which anticipated at the $20 million synergy, so we feel very confident there. Canadian Propane business, it's been our target for many, many years. We're always able to tweak it somewhat somehow. There's been some positive on the wholesale side. And I'll ask Beth to give you additional colors on that?
Beth Summers: Yes, I think from a propane perspective, we did have strong as we mentioned, wholesale market fundamentals. It is volatile -- that is a volatile area. If you think about last year, we would have been almost looking at differentials from a trough perspective with this year from our perspective and basically a peak. So from that perspective, as we look going forward, it is volatile, and things could change quickly with those market fundamentals. From an overall perspective, if you want to think about the U.S. business from a margin, we still look at those margins being roughly in the range of 25% U.S., which is somewhere between CAD0.30 to CAD0.35, and we think that's a good number going forward. From the Canadian Propane perspective, our view where we're sitting a little higher this quarter than we would've been on a year-over-year basis, from a full year perspective, $0.14 to $0.17 is a good range. If you want to think about Q4 based on what we're seeing where both Q4 and Q1 tend to have higher margin. Think of it, sort of in a $0.15 to $0.16 set range overall going forward. And on the chemicals side, as you would have seen there was some weakness on the chlor-alkali side. And again, that tends to be volatile. So from a perspective going forward, that when where our view is we would expect going forward, experiencing volatility.
Jacob Bout: Okay. And next is -- so the tank sensor program -- the digital strategy in propane, are you seeing much of a margin lift from that?
Luc Desjardins: It really is -- now I have to add to that, all the portal work and information that we have in the data that our customers their selves have. It's not just on the tank that we have the measure of propane in the tank. It really is extraordinary in many ways, to fill rate improvement, so more efficiency and cost to deliver and service. It brings us less attrition. A lot more companies, we've always had attrition and gain but rather than the good telecom industry. The attritions are cut in half. And why they cut in half is customers trust now, the number. And now we can make this information. We can have the data on the tank. So it's kind of a low key fact that good story. We're very aggressive. We're covering over 50% of our volume in Canada. And now during the summer, we're installing a lot more in the states and taking a break in the winter. It's all about servicing customers and filling those tanks. So a really good story and I know we currently haven't been that fair for the first few years that probably rated to us. We would like the idea of keeping it from our competitors. But right now, it's that we're there and we're going to keep going out at it.
Operator: Our next question comes from Nelson Ng with RBC Capital Markets.
Nelson Ng: Just a quick question given that, you're looking to provide a sales updates by the end of this year. I think last quarter you mentioned the capacity expansion at Buckingham and Valdosta. I was just checking to see, if those like the capital program has begun on those two projects. I think Valdosta's probably next year but Buckingham was supposed to be this year?
Luc Desjardins: Yes, that's our schedule. To be clear, the scheduled plant is closed, done, behind us. The Quebec plant is, the work is going on the electricity as well as forming the large chemical plant. And Valdosta is next year. And in all of that we continue to run the Company like we're going to own this forever. So not only State investments to improve the business, we never stopped doing that. That's why our capital of the business, we were positive over the past few this years. We have a very good business with good management talent, and we don't want to short change that business becomes we're looking at selling it. So those are the 3 programs in works and part of it along the lines is behind us.
Nelson Ng: Then my next question relates to the small tuck-in acquisitions last month. Given the small size like where they done at the lower end of your kind of typical acquisition multiple range?
Luc Desjardins: Yes. They're bringing somewhere in them, some of them bring good synergies, and we don't overpay within discipline and acquisition. We just pay a bit more for the NGL and as we have some type of opportunity, which we have proven with the 24 million in the synergy U.S. is giving us some platform to build bigger and better. We have a pipeline that's really robust. Timing has been, I think, is more coming versus the past 9 to 12 months because there's a good one and worst. We don't overpay. We understand shareholder value. We don't want to sell anything too cheap and if we don't get their value which is a concern. And we don't want to be paying too much for business and net-net those very good and good synergy and good net after execution. And our promoters up a little bit but telling you something, I hope all know is, from the execution point of view. If you look at the 9 years history, it's probably in the best-of-class, buying and integrating and doing their job.
Nelson Ng: And then just one last question, I guess, given that you do have a lot of seasonal workers on the propane side. Could you just comment on the, like one, I'm just wondering whether the tight U.S. labor market has impacted your business at all and if you're seeing any wage pressures there?
Luc Desjardins: No, it's funny because we had that discussion with our Board yesterday. One of the board members asked a question which since when do you and it was a great question because we hear it everywhere. I think what we're living through is a since to me that that when you have a propane business, you think the propane business before the management or graders and technicians. And they re-drive like trucks, so it's not a hard lifting job, it's not long distance and you don't come on the time you do your Jay, you do your day, and you go home at time. And you're part of a team and everything there is a hot in the morning and the lead so we really, some see what we hear about the truck drivers. And then in the summertime, we start to apply with same business model. We haven't had a reducing labor force or the month of the summer. And we've been somewhat surprised a lot of and we keep their benefits when we do that in the summer and the very positive feedback from employee say, I'm really working here for my benefit a lot. And when it comes to slowing down in the summer makes sense and I'm good with that. So, we had an issue for us. And we're not indicative just because it's not a hard truck driving job versus others.
Operator: Our next question comes from David Newman with Desjardins.
David Newman: Not to overplay it, but just on the sales process, it's November 14, and I would assume if you announced something toward the end of the year, that it would be more likely, like a 2020 flows. Does that, kind of, run into the management bandwidth, I guess, during the busy period? And I guess, the offset would be -- it's more likely than not, that generally, the other propane small players wouldn't sell till until after the season anyways, correct?
Luc Desjardins: Talking about the M&A and as follow, again, there is, I think you're right, usually they stop and they, all winter. But right now, they haven't. So we have couple of good interested party that we're working on with, and I think the next few would be good. On the process for the chemicals side, I'm not sure I understood your question, because it affect all the word from a month to month basis, maybe Beth you have.
Beth Summers: Yes, I think, David, maybe the way to think about it on a -- having very different businesses, there's different team as we work through the detail of yield et cetera that will be working on the various fields. And if you want to take it from a busy season perspective, et cetera. Chemical is very stable throughout the year and it is very stable operation. So when you think about the individuals involved again those types of process, I didn't say, it's no harder or easier and going through this period of time. And for the others involved, which would be more from a corporate perspective, the reality is, what we do what we need to do to get everything done.
David Newman: And not to nail it down, but it doesn't look like a 2020 close to you guys, if it happens?
Luc Desjardins: Yes, I think it's, obviously given where we are in the process that we have and I would assume if you announced something toward the end of the year talking about at this point is just a little bit premature.
David Newman: Okay. And just on ongoing operations, the fundamentals here, obviously, quite a good quarter. And that's -- from the R margin expansion and things like that, margin management. Of the $0.184 in Canada and the $0.319 in the U.S., I would assume it's a couple of pennies on each side that you're able to extract out of that?
Beth Summers: Yes, that's a good way of thinking about it.
David Newman: Okay. And part of it is not just the R, but is it not also a case where -- when you have a low wholesale propane environment, you've got some stickiness on the retail side that's the margin and management there, that's what you're alluding to? And does that look like it could continue into the fourth quarter?
Beth Summers: Yes, I think maybe think about it in different pieces. In a lower propane environment, as we talked before, I mean, I'll take it back up for a fundamental business model. And the fundamental business model is that our margins get generated by the active distribution of the propane. So that's the key driver. For residential customers, there are instances where when propane pricing are low around the edges, we can pick up some incremental margin. So that means the best way to think about it is between both Canada and the U.S. sort of in the range when you have propane pricing as low as it is today, probably has impact in the range of about $5 million on that both U.S. and Canada combined. The other pieces, when it come to sort of the dislocation of the market, which is the differential impact that give whether the propane pricing is low or high, you can still have, I'm going to say larger or smaller opportunity, in that differential. Our, there's also arbitrage opportunities that exist as well. But again, that's a difference of prices not necessarily lower prices, where we have congestion points, et cetera. So, the first one, doesn't really, isn't reflected because of wholesale market fundamentals necessarily, I'm going to say that's a little bit more operational and pricing on the residential variable customer. I'm not sure if that helps, but it's certainly into different pieces.
David Newman: That's what I thought it was, but I just want to make sure that I was on the right track. And if you look at the chemicals market in general. And I know you're very buffered by being in land and, et cetera. But do you think the caustic weakness could creep up river at some point here? And as well as hydrochloric acid markets, you're pretty diversified but you're also very insulated overall. But how are you thinking about that?
Beth Summers: I mean, from our perspective, that chlor-alkali market can definitely be volatile. Barge traffic in the winter from the Gulf coast, certainly can have an impact, but we're all decreased some of that floating up towards our market. One of the reasons why are we didn't change or narrow our guidance range is because of both the volatility, that we could potentially see in that exists in the chlor-alkali market as well as the volatility, frankly, on propane, fundamental markets and weather, et cetera. But that is one of the reasons why our range is a little higher at this point than it might otherwise be.
Operator: Our next question comes from Patrick Kenny with National Bank Financial.
Patrick Kenny: Beth, I think you just answered my first question here on the EBITDA guidance range being unchanged. You noticed some of the potential offsetting factors, but just to may be zone in on what looks to be a strong crop drying season down in the Midwest right now. Can you just maybe provide a bit more color on the wholesale opportunities that your team might be seeing or any logistical challenges there?
Beth Summers: So from our perspective with the crop drying et cetera is quite clear that it's mix of supply tighter, demand stronger from that perspective. So, we're really looking at it and say number one, the most important thing from our perspective to ensure that we have security and supply. So our team is very focused on ensuring that that occurs. Certainly, historically with this strong crop drying and then moving into tentatively very cold weather, which happened in the lower vortex, there were concerns around supply and security and supply. We believe that the market itself is much better prepared now for this. So, and we are certainly focused and ensuring that we have security and supply with different pieces you are correct, because sometimes provide arbitrage opportunities with our team will look at and where we can take advantage of that we will take advantage of that.
Patrick Kenny: And then I guess as a follow up. The other tailwinds don't materialize, or sorry the other headwinds don't materialize and the stars who do align here with weather and logistics for the propane business and I said out of the park this winter. Did that potentially provide enough excess cash flow to accelerate your debt repayment and perhaps cause you to rethink selling chemicals altogether? Or decently have a price in mind for the business and I know you don't see that being influenced by what goes on within propane?
Luc Desjardins: I'll do the chemical sales part and Beth will do the other part. The strategically, we hope to sell the chemical and decide to sell the chemical for good reason. In Canada with Canwest and what we've done with the bid based business, you look at the history. If you look at NGL, which we've proven by the fourth largest distributor in the State, our business model, every time we touch a propane company, we're improved at 25%. What do a ton of that it's like really special. When you think of being an industry that somewhat mature. That's such a business model that we continue to improve. We have additional improvement project and words that are really quite digital and data information to organize work even at the next level of our efficiency. But when you have to develop a business model like that it is and the industry really, really the best and so much more efficient, you got to do a tone of that. So we said strategically, by the good potential of business, helped chlorate and sodium chlorite and you have the volatility that was discussed with chlor-alkali for us because over regional play. It's extraordinaire mid, long-term to say, let's get our cash, let's have less debt, let's do more of that, let's do more of that. Every time we buy 1, we improve it overnight. One year, 18 months, $23 million, $24 million sales and improvement in NGL, so we are doing that. Now, from selling, not selling, we want to sell and we're marching up to sell it and we hope to have communication in that regard in the short period of time. We're also very disciplined and you've all been, everyone of you that's been in M&A understand the last mile is very critical and very stressful, I think would say because of our decide to play little game at the end. Even though they came in and they were factual about their value and how they were acquired the business. It happened to us in the CPD and I throw them out and we sold it to $100 million more later. I hope we don't have to do that. It's not fine to go that way, but we have to be cautious of getting to the last game of the deal, and we hope, it's working well now that it happens. But we're not afraid to face that if somebody wants to play a game at the end.
Beth Summers: Yes, the only thing that I will add in addition, for the few items that you were fundamentally flagging that improved market fundamentals in colder weather, if you want to think about it in an overall context, it's probably you're looking at $10 million to $20 million. So it's not really as impactful on leverage overall.
Operator: Our next question comes from Joel Jackson with BMO Capital Markets.
Joel Jackson: Speaking to chlorate, have you started getting some discussions for some renewals on contracts for 2020? Maybe if you could talk about what chlorate pricing might look like into next year?
Luc Desjardins: Yes, we have in there, it's a good year for us but contracts are one to two years, over our 20, 30 years any of them. So this year, we only have about 20% of renew. And so far, what we see is we can -- our biggest cuts, as far are our cost of electricity and energy. And by what we see right now the capacity to be able to cover our costs increase. So we're in a good position. The market is 95% capacity utilization, the asset's been in the story, since I've been here and closing Saskatoon and the larger low-cost plant in Quebec and Belfast that is a good move, so not good position in chlorate.
Joel Jackson: So why you're saying so far is that the price increases you're getting are matching the, electricity you have inflation cost?
Luc Desjardins: Yes.
Joel Jackson: Okay. And then follow-up on chlorate, but also, I guess especially cap sales, maybe a two partner here. You've said in the past a couple of times, you would not consider breaking up the business to sell some pipelines or commodity by commodity. So the first part would be, I assume that that's still the case. And then when you look at the potential buyers of this asset concerning some of the issues on chlorate concentration that's happening with the Canexus deal, is it fair to say that a current chlorate producer's not one of the likely acquirers here?
Luc Desjardins: So I have Darren in the room, I'll ask him to answer that.
Darren Hribar: Sure. Obviously understand that the process is confidential, so we can't really talk about potential buyers at this point.
Joel Jackson: And that was the answer. Okay.
Operator: [Operator Instructions] Our next question comes from the line of Elias Foscolos with Industrial Alliance.
Elias Foscolos: I have one question is almost everything else has been asked. Last year at this time, good questions -- last year, at this time, you introduced 2019 EBITDA guidance. I'm wondering, not that it's super critical, but if we can expect that and what the timing might be?
Beth Summers: Yes, our intention would be to provide 2020 guidance, as we communicate the results of 2019. So in February, so as we have the Q4 results to provide guidance going forward. Our view is it will be more meaningful because we'll have a line of sight on the chemicals process. In addition to that, just to flag, our intention going forward would be to provide guidance along with the Q4 results, which is similar to our peers.
Operator: Our next question comes from the line of Raveel Afzaal with Canaccord.
Raveel Afzaal: Can you speak a little bit about the caustic soda inventory levels that you guys are seeing right now? Are they, have this started to come down or are you still pretty stable?
Luc Desjardins: I was thinking about that for us or for the industry.
Raveel Afzaal: For the industry.
Luc Desjardins: Okay.
Beth Summers: Yes, from our perspective, certainly caustic soda with some of the changes in the market is currently well supplied. Fundamentally, with Alunorte, only being at 75% now where I think the industry would have thought it would already be at 100%. And now the forecast is that Alunorte won't be at 100% until 2020, Q1. So from that perspective you still have well supplied. So as a result of that, I mean, there has been some headwind in pressure on caustic pricing. From a volume perspective if easy for us, we've seen that it's been very basically been flat. From that perspective, again, I identifying that we aren't necessarily always been impacted from some of these changes because the regional nature of our business.
Raveel Afzaal: And then I know it's too early to call the weather with respect to the propane division, but can you speak about how the weather has been so far and what the forecasts are for the remainder of the quarter?
Luc Desjardins: Yes. We don't give forward number for quarter, as you know. But thank you for that question. It's very old.
Operator: Our next question comes from Steve Hansen with Raymond James.
Steve Hansen: Sorry, I jumped a bit late. I apologize. Your input security lineup was frustrating, but just at the end here. I caught your early comments about the process. The sales process being pushed out perhaps a little bit on announcement but does that disrupt or change any of your ongoing M&A investments that you might be having on the other side as you contemplate to redeploying those proceeds? And just as a follow-up to that is maybe just describe how that pipeline currently looks at the moment?
Luc Desjardins: Pipeline is very good and the, it's not changing our results we see there and a lot of the deals are small. There's some medium deals that takes longer and somebody asked earlier, it's true that a good midsize deal would not look at it this winter. We'll look at this summer to do it in the event of sale. So even though we do have a little bit more potential acquisition in three to four months to come which is usually not the case. They're all kind of, they're not large, not the midsized ones. So from an M&A, we're not stopping. We're communicating. I'm sure, a good seller could understand too, if we say, listen, give us an extra month because like to finish with our chemical deal. I haven't changed our name and all of our investors that has been -- larger deal would probably -- would come with there. That might bring a different situation but it's not the case for the moment. I don't know Beth anything from your mind with this regard?
Beth Summers: No I don't have anything to add on top of that.
Luc Desjardins: Alright thank you.
Steve Hansen: Okay perfect, thanks guys.
Operator: And I'm showing no further questions in queue at this time. I'd like to turn the call back to Mr. Desjardins for closing remarks.
Luc Desjardins: I want to thank all employees and management for their Superior third quarter, it's a great start and I assure you additional thanks to our ERCO team that has worked so hard, doing their job day-to-day and working on this process that's very demand and follow the question and a lot of work. And also to have with the lot of people following us, I think more than in the past, we think that all work is dissipating and wish you all good holiday season. It's early, but we're the first to say it. So have a good one and we're going to keep doing our best and making a good enterprise for all our shareholders and everybody following us. Thank you again.
Operator: Ladies and gentlemen, this concludes conference call. Thank you for participating. You may now disconnect.